Operator: Greetings, and welcome to Broadwind Second Quarter 2025 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Tom Ciccone. Thank you. You may begin.
Thomas A. Ciccone: Good morning, and welcome to the Broadwind Second Quarter 2025 Results Conference Call. Leading the call today is our CEO, Eric Blashford; and I'm Tom Ciccone, the company's Vice President and Chief Financial Officer. We issued a press release before the market opened today detailing our second quarter results. I would like to remind you that management's commentary and responses to questions on today's conference call may include forward-looking statements which, by their nature, are uncertain and outside of the company's control. Although these forward- looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the factors that could cause actual results to differ, please refer to the Risk Factors section of our latest annual and quarterly filings with the SEC. Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during our call in the press release issued today. At the conclusion of our prepared remarks, we will open the line for questions. With that, I'll turn the call over to Eric.
Eric B. Blashford: Thanks, Tom, and welcome to those joining us today. We continue to advance our strategic priorities during the second quarter, prioritizing our focus on high-value precision manufacturing end markets, while moving toward a leaner, more diversified business capable of delivering profitable growth through the cycle. Second quarter revenue increased on both a sequential and year-over-year basis, driven by increased demand from the wind and industrial verticals. In June, we announced the pending sale of our industrial fabrication operations in Manitowoc, Wisconsin. This represents a meaningful step toward further optimizing our asset footprint, improving our balance sheet flexibility and sharpening our focus within stable, higher-margin precision manufacturing verticals. We are on pace to complete this transaction in the third quarter and expect it will add approximately $13 million of cash to our balance sheet while reducing costs by $8 million annually. Customer activity continues to accelerate with order rates rising 14% year-over-year to $21 million. Robust demand from power generation and increasing demand from oil and gas customers offset softness in wind, industrials and mining. These market dynamics reinforce the importance of our diverse customer base, especially during sustained periods of U.S. trade policy uncertainty. Orders within our Heavy Fabrications business were adjusted to reflect the estimated backlog that will be transferring with the sale of the Manitowoc operation. In the second quarter, we also received the final purchase order release against the long-term customer agreement we entered into in early 2023. So new tower orders for that customer will add to backlog. Gearing orders continue to rebound, increasing 45% as we continue to see strength in power generation and some resurgence in the oil and gas aftermarket. In July, this momentum continued as we received a follow-on order for $6 million of Gearing products for the power generation market. This acceleration in order activity is a direct result of the investments we made in capabilities and quality certifications in this business. In Q2 2025, orders within our Industrial Solutions business remained very strong, more than tripling year-over-year driven by strong demand for new gas turbine units as well as upgrades and services. We're pleased to have set another record for both orders and backlog in this segment. Operationally, we continue to invest in equipment technology to improve our process capabilities, reduce costs and improve our profitability. In the second quarter of 2025, margins were temporarily impacted by early production process inefficiencies at our Manitowoc and Abilene facilities and lower capacity utilization levels within our Gearing segment. We expect profitability to improve as production normalizes throughout the duration of the year. In the Industrial Solutions segment, we are investing in additional manufacturing capacity in order to service our current backlog and meet future customer demand in the rapidly growing gas power generation equipment market. Within our Heavy Fabrication segment, Q2 revenue grew year-over-year, primarily due to an increase in wind towers, and repowering adapters sold, offset by lower demand from the mining market. Revenue in our Gearing segment fell year-over-year due to lower demand from the oil and gas gearing market, partially offset by strength in the mining and industrial sectors. We've taken further cost actions to align production capacity with the present demand levels while maintaining the key manufacturing and engineering talent required to accommodate the increasing order intake we're experiencing this year. Within Industrial Solutions, we saw growth year-over-year primarily due to stronger shipments into the new gas turbine equipment market. In summary, the team and business continued to perform well as we sharpen our focus within adjacent higher-margin precision manufacturing verticals. Recent strategic actions to divest our Manitowoc facility will position us for increased balance sheet strength and optionality while reducing overhead costs materially. While the trade policy environment remains volatile, our 100% domestic manufacturing base remains a key competitive advantage, positioning us to partner with Tier 1 OEMs who value our commitment to quality, on-time service and deep technical expertise. With that, I'll turn the call over to Tom for a discussion of our second quarter financial performance.
Thomas A. Ciccone: Thank you, Eric. Turning to Slide 5 for an overview of our second quarter performance. Second quarter consolidated revenues were $39.2 million, an 8% increase versus the prior year period. During the second quarter, we restarted the Manitowoc tower production for a limited customer run ahead of the planned asset sale and recognized increased repowering revenue in both our Manitowoc and Abilene facilities. Sequentially, revenue was up nearly 7% due to stronger deliveries within our Industrial Solutions segment as we resolved some of the temporary supply chain headwinds that impacted the first quarter. Despite an increase in revenue, second quarter adjusted EBITDA declined to $2.1 million versus the prior year at $3.6 million. Adjusted EBITDA margin dropped to 5.3% due primarily to lower capacity utilization within our Gearing segment, manufacturing inefficiencies associated with the production of a new larger wind tower design in both the Manitowoc and Abilene facilities and additional labor to support increased volumes within the wind and power generation verticals. Q2 orders totaled $21 million, an increase of 14% versus the prior year second quarter, driven primarily by stronger demand for natural gas turbine content, serving power generation markets in our Industrial Solutions segment. Turning to Slide 6 for a discussion of our Heavy Fabrications segment. Second quarter orders of $0.2 million were muted given the timing of wind-related orders and the fact that we're winding down operations within our Manitowoc facility. It should be noted that during the second quarter, we received purchase order releases satisfying the volume associated with the long-term customer supply agreement that we announced in January of 2023. Going forward, purchase orders received from that customer will again be recognized as orders and incremental backlog. Second quarter revenues of $25 million are up 27% versus the prior year quarter, driven by an increase in wind tower sections sold, as we restarted Manitowoc tower production on a limited run and increased revenue related to repowering adapters, offset by lower demand for mining customers. Despite an increase in revenue, second quarter segment adjusted EBITDA was flat versus the prior year at $2.8 million due to the manufacturing headwinds previously mentioned. Turning to Slide 7. Gearing orders of $6.8 million were up over $2 million versus the prior year period. Of note, we received follow- on orders from a significant customer serving the power generation market, with whom in July, we subsequently announced a multiyear supply agreement for Gearing products to be used in natural gas turbines. In addition, oil and gas order growth accelerated for the second quarter in a row as we may be benefiting from onshoring in reaction to recent U.S. trade policies. Segment revenue was $7.3 million, up sequentially but down over $3 million versus the prior year quarter, recognized an adjusted EBITDA loss of $0.1 million, driven by lower revenue and reduced capacity utilization. Turning to Slide 8. Industrial Solutions recorded nearly $14 million of orders during the second quarter, surpassing the previous $10 million record achieved last quarter. Segment participates in the natural gas power equipment industry, which is experiencing a significant resurgence driven by the increasing demand for reliable and flexible power supply. Segment backlog also hit a new record high of nearly $30 million at the end of the second quarter, eclipsing the previous record of $23 million set in Q1. This quarter represents the third straight quarter with record order and backlog levels. Q2 segment revenue was $7.4 million, up 30% sequentially as much of the supply chain headwinds impacting shipments in the first quarter were resolved during Q2. Revenue was up 14% versus the prior year second quarter, but adjusted EBITDA of $0.7 million was down slightly from the prior year due to a lower margin mix of products sold as well as additional overhead to support increased production volume. Turning to Slide 9. We ended the second quarter with total cash and availability on our credit facility of approximately $15 million. Line of credit borrowings increased during Q2 to support a nearly $14 million increase and operating working capital. This working capital increase was driven most notably by our deposit balance returning to more normal operating levels, while our inventory levels increased in response to higher wind-related production levels. We expect that inventory levels will decrease in the third quarter. Finally, with respect to our financial guidance in connection with the pending asset sale of Manitowoc and related operations, we are suspending our previously issued financial guidance for the full year 2025. We intend to reinstate new financial guidance, excluding contributions from Manitowoc upon closing of the transaction, which is expected during the third quarter of 2025, consistent with prior expectations. That concludes my remarks. I will turn the call back over to Eric to continue our discussion.
Eric B. Blashford: Thanks, Tom. Now allow me to provide some thoughts as we move into Q3. We continue to refocus production capacity towards stable recurring revenue streams across diverse end markets. With recent gearing wins in the power generation markets, and growing opportunities in a large utility scale natural gas turbines. We continue to see robust quote activity in both gearing and the Industrial Solutions segment. In our Gearing segment, we continue to execute our strategy to move beyond traditional gearing toward other precision machine products. The recent sizable orders we received from the power generation sector are evidence that our strategy is working. We're pleased at the increasing level of customer activity we're seeing in various new markets, including infrastructure support, such as cement plants, and aggregate material processing, among others. In Industrial Solutions, significant growth in the natural gas turbine industry is having a positive commercial impact on our business. In Q2, we eclipsed the quarterly bookings record that was previously set in Q1 2025 by over $3.5 million and established a new record quarterly backlog. Due to strong demand for power worldwide, our key customers are adding significant production capacity in order to meet both the current and foreseeable future demand. In order to take full advantage of the significant growth opportunity within our industry, we're investing in the necessary personnel and equipment such as adding robotic welding, expanding painting and machining capacity and upgrading testing equipment to meet this higher demand level and to maximize our growth opportunities within this dynamic market. We believe that our current actions will position us to capitalize on the opportunities to grow and expand within this high-growth market. In our Heavy Fabrication segment, we've expanded our service and commercial teams for our Clean Fuels PRS line to better serve the DJ Basin and Bakken regions. This includes adding a cold weather performance package for the climate in these regions. Our L-70 low flow unit has performed well in field trials and is now available to purchase, lease and rent. The addition of this product complements our current product offerings, which are the medium and high flow units to meet the various gas delivery requirements of our customers. We have just completed our first field start-up on a medium flow M125 export unit through a key distribution partner, and we're excited about the opportunities that this could bring over time. We believe the domestic onshore wind tower activity will continue at its present rate through 2026. We are encouraged by the continued momentum in the wind repowering market as we are seeing sustained demand from our OEM customers for the adapters we manufacture, which are required to upgrade most legacy turbines. In our view, the recent policy announcements from Washington provide clarity for our customers, which they need to confidently move forward with projects. We have good visibility for tower production through the balance of 2025 and into 2026. In summary, I'm pleased with the order growth and strategic actions we've taken this year as we continue to demonstrate strong execution of our strategic priorities. Our divisions are well positioned to support the nation's growing need for power generation and infrastructure improvement, which we see as long-term opportunities for us. Our quality, quick response and ability to solve complex manufacturing challenges for our customers, continue to help us win new opportunities notably within the Gearing and Industrial Solutions businesses. We're reducing our cost structure, investing wisely and taking strategic actions to refocus our resources toward higher value and growing end markets. We value our people and are committed to keeping them safe, fulfilled and productive. All of our plants are U.S.-based. So we're prepared to capitalize on any opportunities afforded by the pro domestic manufacturing policy backdrop afforded by the current administration. We're encouraged that our order intake continues to grow, positioning us for improved utilization of our manufacturing footprint for the rest of the year and into 2026 as we strengthen our foundation for steady, profitable growth, serving the power generation, infrastructure and other key markets with high-quality precision components and proprietary products to capitalize on improved demand in the years ahead. With that said, I'll turn the call over to the moderator for the Q&A session.
Operator: [Operator Instructions] Our first question comes from Justin Clare with ROTH Capital Partners.
Justin Lars Clare: So first, I just wanted to start on the guidance. I wanted to see if you could just expand a little bit on the uncertainty that may be created by the Manitowoc sale, whether it's timing related or whether your revenue or margins could be affected by the sale. And then just beyond that, are there any other uncertainties within the business that is making it more challenging to provide guidance for the remainder of the year here.
Thomas A. Ciccone: Yes. Thanks for your question, Justin. I think it's mostly related to timing. There's some uncertainty in terms of when we will close. There's not any uncertainty about closing, but the timing is a little up for grabs. So that will impact the amount of industrial fab revenue that we're ultimately able to recognize and realize. So yes, it's mostly timing. There are also some transitional costs that we'll be incurring as a result of winding down the operations in Manitowoc. So we'll be shipping some materials down to Abilene when we're incurring some legal costs. So we're vetting all that out, and we just want to be prudent and accurate with our guidance. In terms of other phenomenon that you're talking about, I don't think there's anything -- any other reason why in any other business units that we pulled the guidance.
Justin Lars Clare: Got it. Okay. I appreciate that added detail there. And then just on Industrial Solutions, I think record orders, your backlog is up I think, more than 100% here. So just wondering if you could speak to the visibility you have into additional demand. Is your visibility improving in terms of when you see orders and the time frame expected for the delivery of those orders? And then maybe you just speak to the capacity you have to fulfill the demand and whether there's anything that you need to do in order to expand.
Eric B. Blashford: Yes. Thanks, Justin. This is Eric. I'll take that call. So Industrial Solutions, primarily services the large gas turbine markets, and those are over 100 megawatts. So far this year through Q2, the market sold 93 units versus 21 units last year at the same time. So that's 4x up. Our customers vary, but our largest customer is GE Vernova in that, and they are dominant in the field. We do see visibility with that customer, again, based on their reporting for several years out, we do follow that. We do talk to that customer frequently. They're saying that they've got visibility up through '28 and beyond that, and they're increasing their own capability to produce these turbines and so that would drive demand for us. When we see orders taken in the market, it's about a 12- to 18-month lag time before we see orders because it just takes some time for these things to get set up. As far as available capacity, we do have the capacity. We've got room in that facility in Sanford, North Carolina. We also have the ability to expand into an adjacent facility and really, it just becomes continuing to increase our capabilities. That's where we talked about robotic welding, our paint capacity, some machining capacity, some testing capacity and then it's all about a material movement. So we do believe we can receive this increased volume quite handily.
Justin Lars Clare: Got it. Okay. And then just as you expand the business here, wondering if you could speak to the margin profile and whether as a result of operating leverage you may have you could see an expansion in margins over time here?
Thomas A. Ciccone: Yes, I think that's reasonable to assume. I mean, we have a fairly large fixed cost structure and the more fixed cost coverage that we get from increase in revenue, a tick up in revenue, definitely helps us. So for us, a big factor in our profitability is capacity utilization.
Operator: Our next question comes from Amit Dayal with H.C. Wainwright.
Amit Dayal: Congrats on sort of continuing to put together good quarters despite some headwinds you guys are facing. In that context, what else is being done to maybe capitalize on the growing demand for the power generation side of things? Like are you adding more folks on the sales side? Just wanted to see how that pipeline is being built up or what you are thinking strategically you could take advantage of to participate maybe in a bigger way in that opportunity?
Eric B. Blashford: Well, thank you. Thank you, Amit, for that question. We have, within our Gearing segment, really expanded our independent sales rep organizations across the country. We now have pretty good representation west of the Rockies, which we hadn't had before. We brought in some new reps that are actually on our payroll that have specificity in markets like cement and aggregates and to a lesser extent, power generation. But with regard to taking advantage of that, I think it's capacity increases that we've done in Industrial Solutions and in the Gearing market. Also, the PRS, which is this our proprietary product within Compressed Natural Gas, we released that product. The L-70, which is the lowest volume -- our lowest power unit, and that's really ideal for backup power supply support. So I think the more that, that product is accepted in the marketplace and proven I think that will help us expand opportunities within power generation.
Amit Dayal: Understood. You mentioned there's a new tower order that -- I'm not sure if that is showing in the backlog you highlighted in the earnings release. How big is this new tower order?
Eric B. Blashford: Well, we were talking about the manufacturing challenges that we had with a tower order -- small tower order that we were building in Manitowoc. That order was received late last year and we're producing it this year. That's the one that -- it's a very large tower with a very fixed steel. It's actually twice as thick as the normal steel we produce. So it's presented some challenges for our engineers to make sure that, that -- those cans that are made by that out of that fixed deal can be moved appropriately to construct the wind tower. That's what we're referring to in our prepared remarks.
Amit Dayal: Sorry. So it's already part of the Broadwind. Yes. Understood. Okay.
Eric B. Blashford: Right. But one of the things we did say is that at the end of the quarter 2, we have completed the long-term agreement we had with one of our key OEM partners. And that had always been in backlog for the last 2 years. And so as we were receiving PO releases against that order, they weren't counting as new orders because the order was already in backlog. Since we've now completed that, new orders, in fact, orders that we've received in July and beyond will count as new orders and new backlog. That was also referenced in my prepared remarks.
Amit Dayal: Okay. Understood. It looks like the sentiment around wind, at least from a news headline perspective, still is a little sort of depressed. But from the commentary, it looks like things are picking up for you. Like how should folks sort of think about the opportunity ahead for you with respect to the wind-related business?
Eric B. Blashford: Sure. Well, the big beautiful Build Act did have some challenges in it for renewables as our investors are aware of. But one of the things that it did have is the 45x credit that we take advantage of as do others component manufacturers in our market are still in place, but they end in 2028 as opposed to a couple of years later. So I think we could see actually pulling in of some orders in '26 and '27 ahead of that. There's also provision that projects have to start construction by July 4, 2026, to avoid a deadline placed in service deadline which impacts the PTC, the production tax credit, which benefits developers. So again, I think certainly in '26 and likely '27, there would be a pull-in of orders as developers take advantage of the changes in the tax law.
Operator: Our last question comes from Eric Stine with Craig Hallum Capital Group.
Eric Stine: So maybe just getting back to wind. So you mentioned that you've satisfied the original order with GE, and I believe that was for -- or is for the SunZia project. Just curious, as you think about that going forward and now you will be recognizing those orders, what type of demand do you see? Is that part of the visibility you mentioned that you have through 2026 on the tower side out of Abilene. Just maybe any thoughts on that would be great.
Eric B. Blashford: Sure. Yes. Just remember, we're one of only several out of U.S. that are qualified to produce for as many OEMs as we are. And that one particular OEM, we had the long-term agreement with is still an important customer of ours. I think, in fact, the relationship is every bit as strong as it ever was. So when I mentioned that we've got good visibility certainly through '25 into '26 for orders, we literally have those booked through January 2026. And let's just say, very strong customer indications that we will have a good flow throughout the whole year of 2026 of towers and adapters in Abilene.
Eric Stine: And you're seeing from that customer and others? Or are you more focused on that customer?
Eric B. Blashford: Well, from that customer and others. From that customer and others. And I would say, directionally, if we were operating, call it, 50%, 60% capacity utilization rate, in that plant in 2025, we would comfortably be more like 60% to 80% capacity utilization in that plant through 2026, including towers and adapters from multiple OEMs.
Eric Stine: That's great. Then maybe just heavy fab as a whole. I know that the order level, you mentioned some of it's timing and maybe you did mention this and I missed it, but I mean, I would think there was some impact related to just some of the variability or uncertainty related to selling Manitowoc. So maybe do you sense that there are heavy fab orders that are kind of pent up and that you would see upon closing? Or how do you view that as we think about 3Q and the remainder of the year into '26?
Eric B. Blashford: When I would say regarding the orders that we have for Abilene, I think the customers received the news quite well. We did have a customer cancel a fall adapter order and that customer intends to give -- to redo that adapter order in Abilene for 2026 production. But as far as industrial fabrication, orders, those orders -- we're still taking those orders, but those orders will be -- will transfer over to the new operator of that facility. So we delineate between industrial fab. Those are the crane orders, Eric, and the construction orders we produce in Manitoba. As far as Abilene, those orders would not impact this particular sale. PRS orders and tower and adapter orders seem to be flowing as usual.
Eric Stine: Okay. And then maybe last one for me. Just you mentioned $8 million in cost savings related to the planned divestiture. Can you just remind me the split between cost of goods and OpEx?
Thomas A. Ciccone: I think I would say that's it's all -- that would be all in cost of goods sold. It's mostly fixed overhead.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Eric Blashford for closing comments.
Eric B. Blashford: Yes. Well, thank you, everyone, for your interest, and we look forward to getting back with you after our third quarter results to discuss them with you. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.